Operator: Good day, and thank you for standing by. Welcome to the Fourth Quarter 2023 EPR Properties Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Brian Moriarty, Senior Vice President, Corporate Communications. Please go ahead.
Brian Moriarty: Okay. Thank you, Victor. Thanks for joining us today for our fourth quarter 2023 and year-end earnings call and webcast. Participants on today's call are Greg Silvers, Chairman and CEO; Greg Zimmerman, Executive Vice President and CIO; and Mark Peterson, Executive Vice President and CFO. We'll start the call by informing you that this may include forward-looking statements as defined by the Private Securities Litigation Act of 1995, identified by such words as will be, intend, continue, believe, may, expect, hope, anticipate or other such comparable terms. The company's actual financial condition and the results of operations may vary materially from those contemplated by such forward-looking statements. Discussion of those factors that could cause results to differ materially from these forward-looking statements are contained in the company's SEC filings, including the company's reports on Form 10-K and 10-Q. Additionally, this call will contain references to certain non-GAAP measures, which we believe are useful in evaluating the company's performance. A reconciliation of these measures to the most materially comparable GAAP measures are included in today's earnings release and supplemental information furnished to the SEC under Form 8-K. If you wish to follow along, today's earnings release supplemental and earnings call presentation are all available on the Investor Center page of the company's website, www.eprkc.com. Now I'll turn the call over to Greg Silvers.
Gregory Silvers: Thank you, Brian. Good morning, everyone, and thank you for joining us on today's fourth quarter and year-end 2023 earnings call and webcast. 2023 was a year of meaningful progress as we delivered strong earnings growth, executed our investment spending, delivered sector-leading total shareholder return, and positioned the company to achieve sustainable growth in the coming years. During the year, we saw a sustained level of strong performance in our non-theatre portfolio as evidenced by a consistent 2.6 times coverage level. Additionally, we were pleased to see over 20% growth in 2023 North American box office revenues versus the previous year. This growth translates to an increased coverage level of 1.7 times in our theatre portfolio, which is squarely in line with pre-COVID coverage levels. It's important to highlight that we achieved this coverage level even as 2023 box office revenues were down approximately 20% from 2019. This coverage data reflects the strength of our theatre portfolio along with the sustained trend of increased food and beverage per cap spending and along with operating efficiencies implemented by our tenants. This coverage data is also consistent with our anticipation that we would achieve pre-COVID theatre coverage levels prior to reaching pre-COVID box office levels. While last year's strikes will interrupt the linear annual growth in box office revenues due to title delays, the quality of our portfolio continues to endure and positions us well for a very favorable-looking 2025 film slate. Our investments during the year provided increased diversification and highlight our ability to source what are non-marketed opportunities. We ended the year with positive momentum in our investment spending. And as we move into 2024, we will continue to leverage this strength while remaining disciplined in our capital deployment and delivering reliable earnings growth. Our investment pipeline includes investments across our target property types with both new and existing relationship-based customers. We are also announcing a 3.6% increase in our monthly dividend to common shareholders. Considering our 2024 earnings guidance, along with our dividend yield, we are positioned to deliver strong returns. While our equity remains at historically discounted price levels, the fundamentals of our business continue to strengthen, and our thesis on experiential real estate remains intact. Consumers have demonstrated consistent demand for the experiences our customers have to offer. And we look forward to again delivering for our customers and shareholders in 2024. Now I'll turn the call over to Greg Zimmerman to go over the business in greater detail.
Gregory Zimmerman: At year-end, our total investments were approximately $6.8 billion, with 359 properties that are 99% leased, excluding properties we intend to sell. During the quarter, our investment spending was $133.9 million, bringing the total investment spending for 2023 to $269.4 million. 100% of the spending was in our Experiential portfolio. Our Experiential portfolio comprises 289 properties with 50 operators and accounts for 93% of our total investments or approximately $6.3 billion and at the end of the quarter, was 99% leased. Our Education portfolio comprises 70 properties with 8 operators, and, at the end of the quarter, was 100% leased. Turning to coverage. The most recent data provided is based on a September trailing 12-month period. Overall portfolio coverage for the trailing 12 months continues to be strong at 2.2 times. Trailing 12-month coverage for theatre is 1.7 times, with box office at $8.8 billion for the same period. Our theatre coverage reporting assumes that the Regal deal was in place for the entire trailing 12-month period. For comparison, our Q3 theatre coverage was 1.4 times on a trailing 12-month box office of $8.1 billion. Trailing 12-month coverage for the non-theatre portion of our portfolio is 2.6 times. Now I'll update you on the operating status of our tenants. Our theatre coverage is at 2019 levels, even though North American box office remains well below 2019 levels. We continue to see sustained increases in food and beverage spending and spending on premium large-format screens. Our portfolio is well positioned to capitalize on these trends. As we have previously discussed, we are actively refining our overall portfolio by continuing to diversify our holdings and increasing our non-theatre investments. We are also focused on reducing our number of theatres and improving the quality and coverage of our theatre portfolio. In Q4, we took steps on both fronts. In our Q3 call, we noted an impairment of $20.9 million related to a likely restructuring with a small regional chain. In Q4, we finalized a restructuring agreement with Escape theatres with whom we had four theatres. Pursuant to this agreement, we terminated a lease for one underperforming theatre in exchange for a $2.5 million termination fee, and entered into a percentage rent deal with a recapture rate for another. For the remaining two theatres, we reduced rent, enhanced the percentage rent component and required the exhibitor to spend a minimum of $1 million per theatre from its own funds to improve each theatre within one year. In addition, in Q4, we sold two small market and underperforming Alamo Drafthouses operated by franchisees to the operator. We now have two Alamo Drafthouse theatres, both corporately owned, one in San Francisco and the other in Austin. Turning to box office and the state of the industry. 2023 North American box office was $8.9 billion, a 21% increase over 2022. Q4 total box office was $1.9 billion. Because the Regal resolution as a percentage rent component and because we now have seven managed theatres, we will provide our view of 2024 North American box office gross each quarter. Based on a review of box office estimates from industry analysts and our own independent analysis, we are estimating 2024 North American box office gross to be in the range of $8 billion to $8.4 billion. We are cautiously optimistic that as the year progresses, more titles will be released than anticipated as studios ramp up production coming out of the delays caused by the writers and actor strikes. While it's too early to provide estimates for 2025, we are confident it will be a significant improvement over 2024. As we have said repeatedly, the box office gross is directly tied to the number of titles released. Given the strong performance of major titles in 2023, consumers clearly want to see movies and theatres. And importantly, our high-quality theatre portfolio continues to outperform the industry. Turning now to an update on our other major customer groups. We continue to see good results and ongoing consumer demand across all segments of our drive-to value-oriented destinations. Increases in fixed costs, including labor, insurance and taxes, continue to pressure EBITDARM for many of our operators. In some locations, we are seeing some pullback in attendance from post-COVID highs. Nonetheless, our non-theatre coverage remains healthy at 2.6 times, the same as we reported on our Q3 call. Our Eat & Play assets continued their strong performance with portfolio revenue up in 2023 over 5% and EBITDARM up 6% over 2022. Topgolf completed a self-funded refresh of four of our venues in 2023 and three more are scheduled for 2024. Our cultural portfolio performed very well in 2023 and with increased revenue and significant increases in attendance. For many of our attractions offerings, attendance was up in 2023 over 2022. Our Murrieta Hot Springs Resort operated by our partner at the very successful Springs Resort in Pagosa Springs opened to the public in early February and is already receiving accolades. Condé Nast Traveler recently ranked it as one of the best new wellness retreats in the world for 2024. Murrieta Hot Springs is midway between Los Angeles and San Diego, and boasts over 50 natural hot springs polls and water features, along with numerous historic buildings on 46 acres. Further rooms and amenities will come online through the spring and summer. At the Springs Resort in Pagosa Springs, progress continues on the expansion with completion expected mid-2025. Midway through the 2023, 2024 ski season, year-over-year revenue was essentially flat across the ski portfolio, primarily reflecting challenging weather conditions in November and December at all of our resorts other than Alyeska Resort in Alaska. Room renovations continue at Alyeska, and we are very pleased with the performance of the Nordic Spa. In our Experiential Lodging portfolio, revenue and EBITDARM increased year-over-year from 2022 to 2023. Our Margaritaville Hotel Nashville, proximate to all of Nashville's famous downtown destinations, had an excellent 2023, with significant increases in all metrics. Our Beachcomber and Bellwether resorts in St. Petersburg had year-over-year increases in occupancy and revenue, but there was some pressure on RevPAR and EBITDARM. Our Camp Margaritaville RV resorts in Pigeon Forge and Breaux Bridge, Louisiana showed strong year-over-year revenue gains. At Jellystone Warrens, we also saw solid revenue growth as we are seeing positive returns from our completed redevelopment program. Finally, we are underway with a substantial redevelopment at our most recent acquisition, Jellystone Kozy Rest, scheduled to be completed in time for the summer season. Our Education portfolio continues to perform well, with year-over-year increases across the portfolio through Q3 of 6% in revenue, 15% in EBITDARM, and 2% in enrollment. As we indicated last year, our KinderCare portfolio is subject to a rent reset retroactive to January 1, but calculated in the first quarter. We also anticipate receiving one additional KinderCare location back to sell in 2024. Turning to a quick update on capital recycling. During the quarter, in addition to the sale of our two Alamo Drafthouse franchise theatres to the operator that I mentioned earlier, we sold the second of our vacant former Regals and the fourth of the five KinderCare properties we took back in 2023. The fifth vacant KinderCare location is under a signed purchase and sale agreement. Net proceeds for all transactions in the quarter were $22.2 million, and we recognized a net loss on sale of $3.6 million. Disposition proceeds for 2023 totaled $57.2 million. Subsequent to the end of the quarter, we sold another of our vacant former Regal theatres, and now have sold three, with eight remaining to sell. Of those, we have either a signed purchase and sale agreement or a signed letter of intent for three. Beyond the vacant former Regal theatres, we have one remaining vacant AMC theatre, which is under a signed purchase and sale agreement, and the vacant Escape theatre we terminated in Q4. After the close of the quarter, we sold both of our Titanic museums in Pigeon Forge, Tennessee and Branson, Missouri to a private equity firm at a 6% cap rate on in-place income for a combined $45 million in net proceeds and a gain on sale of approximately $17 million. The cap rate and gain demonstrate the value of our Experiential investments. Finally, we are issuing 2024 disposition guidance in the range of $50 million to $75 million. During Q4, our investment spending was $133.9 million, and for all of 2023 totaled $269.4 million. In Q4, we closed on the funding of $77 million in convertible mortgage financing for the Mirbeau Companies' collection of award-winning Mirbeau Inn & Spa resorts in Skaneateles and Rhinebeck, New York and Plymouth, Massachusetts. EPR has the option to convert the mortgage financing to a traditional sale-leaseback structure. The deal also includes additional commitments of $47.1 million to finance future projects. Mirbeau's unique assets have received numerous national awards from Conde Nast Traveler, Wine Spectator, Forbes and U.S. News & World Report. We couldn't be more thrilled with our partnership with the Mirbeau Companies and the [ Dower [ph] and Dalpas [ph] as they expand their award-winning Mirbeau brand. This partnership once again demonstrates our unparalleled ability to source deals because of our deep knowledge and reputation in the industry. In the quarter, we also closed on a $9.4 million acquisition of our second Movement climbing gym and third overall climbing gym in Belmont, California, 20 miles south of San Francisco. Movement is a quality operator and this real estate is excellent. Finally, subsequent to the end of the quarter, we closed on a build-to-suit financing for our sixth and ready carting location, this one in the greater Kansas City area. The total commitment is $35 million, with $8.8 million funded at closing. Cap rates exceeded 8%, which creates compelling long-term value. As I mentioned, our total investment spending for 2023 was $269.4 million, entirely in our Experiential portfolio. A number of these transactions will be funded through 2024 and 2025. We're extremely pleased with the quality of the Experiential investments we made in 2023, while we continued to exercise discipline in our investment spending. In 2023, with Mirbeau, we added three unique and award-winning properties and developed a new partnership for growth. We developed our second natural hot springs resort with Murrieta Hot Springs and continued the expansion of the Springs resort. We opened a new Topgolf in densely populated King of Prussia, Pennsylvania and added to our growing investment in climbing gyms. We substantially completed the renovation of our Jellystone Warrens RV Park and successfully rebranded our Cajun Palms RV Resort to Margaritaville, Breaux Bridge. We continued our renovation and reinvestment in our Alyeska Resort in Alaska. The cadence of investments heading into 2024 is strong. As always, our performance and pipeline are driven by the hard work of our investments and underwriting team, leveraging our unmatched network of tenants and partners. We're issuing investment spending guidance for funds to be deployed in 2024 in a range of $200 million to $300 million. Through year-end, we have committed approximately $240 million for Experiential development and redevelopment projects that have closed but are not yet funded to be deployed over the next two years. We anticipate approximately $140 million of that $240 million will be deployed in 2024, and that amount is included at the midpoint of our 2024 guidance range. In most of our Experiential categories, we continue to see high-quality opportunities for both acquisition and build-to-suit redevelopment and expansion. We have a robust pipeline with new and existing customers and concepts. Given our cost of capital, we will continue to maintain discipline and to fund those investments primarily from cash on hand, cash from operations proceeds from dispositions and with our borrowing ability under our unsecured revolving credit facility. I now turn it over to Mark for a discussion of the financials.
Mark Peterson: Thank you, Greg. Today, I will discuss our financial performance for the fourth quarter and the year, provide an update on our balance sheet, and close with introducing 2024 guidance. We had another strong quarter of results with FFO as adjusted $1.18 per share versus $1.25 in the prior year, and AFFO of $1.16 per share compared to $1.27 in the prior year. Note that out-of-period deferral collections from cash basis customers included in income were $0.6 million versus $6.2 million in the prior year, resulting in a decrease versus prior year of $0.07 per share. I'm pleased to report that as of year-end, we have collected all accrued deferred amounts related to the pandemic. The remaining off-balance sheet amount of $12 million relates to only two tenants, one with the balance of approximately $26 million that has been paying based upon an agreed-upon schedule which concludes in 2024, and the other with a balance of approximately $11.4 million with payment depending on exceeding an EBITDA threshold. We believe the fact we have been paid back over $150 million of deferred rents since the pandemic, in addition to current rents, speaks to the strength of our tenants' businesses and validates our approach in managing through that challenging time. We work closely with each of our tenants to develop plans that work with their businesses and help position them for longer-term success. Now moving to the key variances by line item. Total revenue for the quarter was $172 million versus $178.7 million in the prior year. Within total revenue, rental revenue decreased by $3.9 million versus the prior year. The positive impact of net investment spending in the current and prior years and the $2.5 million lease termination fee recognized during the fourth quarter of 2023 that Greg discussed were more than offset by the reduction in out-of-period deferral collections that I just mentioned as well as a reduction in rental revenue related to the Regal restructuring that took place in August. Additionally, percentage rents for the quarter increased to $6.2 million versus $5 million in the prior year, primarily due to increased revenue at two attraction properties acquired in June of 2022. Recall that percentage rents are expected to be recognized for the first time for theatres under the Regal master lease beginning in midyear 2024. I will have more on percentage rents when I discuss our 2024 guidance. The increase in mortgage and other financing income of $1.9 million was due to additional investments in mortgage notes during the year. Both other income and other expense relate primarily to our consolidated operating properties, including the Cartwright Hotel and Indoor Water Park and seven operating theatres. However, other income for the fourth quarter of 2022 included $9.1 million of sales participation income. The offsetting increase in other income and the increase in other expense compared to the prior year was due primarily to the additional five theatres surrendered by and previously leased to Regal, which have been operated by third parties on EPR's behalf since early August. On the expense side, G&A expense for the quarter increased to $13.8 million versus $13.1 million in the prior year, due primarily to higher payroll costs, including noncash share-based compensation as well as an increase in professional fees. Interest expense net for the quarter decreased by $1.5 million compared to the prior year due to an increase in interest income on short-term investments and an increase in capitalized interest on projects under development. Now shifting to full year results. FFO as adjusted was $5.18 per share versus $4.69 in the prior year, an increase of about 10%. And AFFO was $5.22 per share compared to $4.89 in the prior year, an increase of about 7%. As shown on the next slide, both 2022 and 2023 results benefited from out-of-period deferral collections from cash basis customers recognized in income of about $0.24 and $0.48 per share, respectively. Excluding these collections from both years, FFO as adjusted per share still grew by nearly 6% and nearly 5% when you also exclude the lease termination fees recognized in all of 2023 totaling $3.4 million. Turning to the next slide, I'll review some of the company's key credit ratios. As you can see, our coverage ratios continue to be strong with fixed charge coverage at 3.2 times, and both interest and debt service coverage ratios at 3.8 times. Our net debt to adjusted EBITDA was 5.3 times for the quarter. Additionally, our net debt to gross assets was 39% on a book basis at year-end. Lastly, our common dividend continues to be very well covered with an AFFO payout ratio for the fourth quarter of 71%. Now let's move to our balance sheet, which is in great shape. At quarter-end, we had consolidated debt of $2.8 billion, all of which is either fixed-rate debt or debt that has been fixed through interest rate swaps with a blended coupon of approximately 4.3%. In addition, our weighted average consolidated debt maturity is over four years was only $136.6 million due in 2024, which we anticipate paying off using our line of credit. We had $78.1 million of cash on hand at quarter-end and no balance drawn on our $1 billion revolver, which puts us in an enviable position given the continued difficult backdrop of the capital markets. We are pleased to be announcing our 2024 FFO as adjusted per share guidance of $4.76 to $4.96. Note that given the timing of expected percentage rents, which are heavily weighted to the last three quarters of the year as in the past, as well as the fact that the first quarter is the off-season for many of our operating properties, including all of our RV parks, we expect results for the first quarter of 2024 to be lower than the full year divided by four, by about $0.09 per share. As we have discussed previously, given our current cost of capital, we have consciously decided to limit our near-term investment spending. We are providing our 2024 investment spending guidance of $200 million to $300 million. And as in 2023, we do not anticipate the need to raise additional capital to fund these amounts. We are also providing our guidance for disposition proceeds for 2024 of $50 million to $75 million, percentage rent and participating interest of $12 million to $16 million, and G&A expense of $52 million to $55 million. The midpoint of guidance for percentage rents and participating interest reflects an increase of about $2 million versus the prior year. This increase is primarily related to the percentage rents expected from theatres subject to the Regal master lease and is offset by certain properties that have base rent increases in 2024 causing the breakpoint for percentage rents to go up, as well as the cultural property that was sold in February that had percentage rents in 2023. The midpoint of G&A guidance reflects a decrease from prior year of about $3 million. This is primarily due to a decrease in expected noncash stock grant amortization and, to a lesser degree, the decrease in legal costs associated with the Regal bankruptcy settlement in 2023. Note that this G&A guidance does not include -- does not reflect the $0.02 to $0.03 per share charge expected to be recognized in Q1 related to an executive retirement. This charge is substantially noncash and will also be excluded from FFO as adjusted and AFFO. On the next slide, guidance for our consolidated operating properties is provided by giving a range for other income and other expense. In addition, we are providing guidance for our operating JVs, both equity and loss from JVs per GAAP, which, of course, is after our share of depreciation, as well as the expected contribution from JVs to FFO as adjusted. The midpoint of guidance for both our consolidated operating properties as well as our operating JVs implies an increase in FFO as adjusted versus 2023. Guidance details can be found on Page 24 of our supplemental. On the next slide, I thought it would be helpful to illustrate the anticipated impact on growth in FFO as adjusted per share for 2024 at the midpoint of guidance, when you remove the impact of out-of-period cash basis deferral collections from 2023 of $36.4 million or $0.48 per share and the amount expected for 2024 of $0.6 million or $0.01 per share. As you can see on the schedule, FFO as adjusted per share growth without deferral collections from 2023 to 2024 are expected to grow -- is expected to grow by 3.2%. The expected growth is just over 4% when also excluding the impact of lease termination fees recognized in 2023 of $3.4 million. This is consistent with what I said last quarter when I mentioned we could grow our earnings at about 4% without the need to access the capital markets and while maintaining our targeted debt-to-EBITDA range of 5 to 5.6 times. Finally, based on expected 2024 performance, we are pleased to announce a 3.6% increase in our monthly dividend, beginning with the dividend payable April 15 to shareholders of record as of March 28. We expect our 2024 dividend to be well covered with an AFFO per share payout ratio of about 70% at the midpoint of guidance. Now with that, I'll turn it back over to Greg for his closing remarks.
Gregory Silvers: Thank you, Mark. Today's report reflects the continued strengthening of our portfolio, with theatre coverage returning to pre-pandemic levels. The quality of our portfolio has allowed us to collect over $150 million deferred rents, including all accrued amounts related to the pandemic. Additionally, our guidance demonstrates our ability to continue to grow even in a capital-constrained environment. Finally, I want to take a minute to acknowledge the retirement of Craig Evans, our General Counsel and Secretary. Craig and I have worked together for many years, and he has served as a trusted adviser and respected member of the EPR executive team. His accomplishments are too numerous to mention, but his efforts are much appreciated, and we wish him all the best in his retirement. Now let's open it up for questions. Victor, are you there?
Operator: [Operator Instructions] Our first question will come from the line of Joshua Dennerlein from Bank of America. Your line is open.
Joshua Dennerlein: Yes, hey guys thanks for the time. Could you remind us what's in your JV bucket and operating assets? I'm assuming all the operating assets are in the JV? And just like how you guys are thinking about those assets on a longer-term basis, whether or not like the guide for 2024 is like where they kind of stabilize out?
Mark Peterson: Yes. So you got operating properties in a couple of buckets. You've got consolidated operating properties that are in other income and other expense, and that's the Cartwright Hotel and Water Park and you got the seven operating theatres. So that's other income and other expense. On the JV side, we've got four properties or four sets of properties, three of which are JVs – three of which are RV parks, and one -- the other one is the investment in the two hotels in St. Petersburg. As far as the guidance for on the JVs, because I think that's more what you're asking about, they -- it's up about $400,000 versus actual results for the prior year. And we also have an increase of about $1.2 million in interest expense embedded in that. So from an operating perspective, it's really up more like $1.5 million. Part of that interest expense increase is things coming off of capitalization. But in the St. Petersburg properties, we also have an interest rate cap that's expiring in June that was kind of capped, so for at like 3.5%. So that's going to go up. But beyond that, we do expect -- we've put recent investments in the JVs. I think we spent somewhere upwards of $16 million in 2023. And unlike a lease, it takes a bit of time for that to ultimately result in improved performance. So we were a little bit conservative or cautious thinking that it would have an immediate impact in 2024 in our guidance. But longer term, we're confident that investments are going to bear fruit. And I think if you move into 2025, you'll see an even larger increase. So to answer your question, we don't think they're at their kind of final endpoint in our 2024 guidance given the recency of the investment and it takes a little time for those to bear fruit.
Joshua Dennerlein: Okay. That's good color. And then maybe just on the operating assets that don't flow through the JV line. How are you thinking about those from, I guess, where they are in the 2024 guide versus like maybe where they can kind of stabilize out?
Mark Peterson: Yes, sure. If you kind of look at the guidance, for other income and other expense. Last year, that net amount was about $1.1 million, but some of that was income from FX and some miscellaneous income. So it's kind of about breakeven, you put it all together with the operating theatres, just transitioning from Regal and then sort of the Cartwright. For next year, if you look at the midpoint of our other income and other expense guidance is about $3 million. And about $2 million of that is from the theatres, from the seven theatres. And we expect that those will start to produce income. Obviously, we were in transition in 2023. As we move into 2024, those will start to produce income. That's a little bit lower than the chart we put out, frankly, for the theatres -- for the operating theatres that we're getting back for -- that we got back in the Regal transition. And frankly, we're just being a little bit conservative in that takes a little bit of time to transition those to Cinemark in Phoenix, the operator of those five theatres. So that's a little below what the chart implied that we put out back when we did Regal. I will say on the percentage rent side, we do have the full number kind of baked in from that chart on the theatres that didn't have to go through that transition that we took back from Regal where we did the percentage rent deals. So that kind of gives you a little color. I do expect those -- if you move to 2025 and you see the increase in box office as expected for 2025, those should, both in the percentage rents line and in the operating profits line, should increase quite a bit as box office is scheduled to go up anywhere from $8 billion to $8.4 billion, to something like $9.5 billion-ish for 2025. So growth in 2025 on those ought to be pretty good.
Joshua Dennerlein: Thanks a lot.
Operator: Thank you. One moment for our next question. And our next question will come from the line of Todd Thomas from KeyBanc Capital Markets. Your line is open.
Todd Thomas: Hi, thanks, good morning. First question, Mark, I just wanted to follow up on sort of the guidance and the theatre commentary. Just looking for a little clarity. You outlined the box office projections for the calendar year 2024, $8 billion to $8.4 billion, but also noted that the box office is running a little behind in the near term due to the strikes. What's the contribution to percentage rents from the Regal lease specifically in that $12 million to $16 million percentage rent assumption? And can you just talk a little bit, I guess, about how you think the box office shakes out for the Regal lease which runs through July 31?
Gregory Silvers: Sure. And I'll jump in, Mark, before. This is Greg, Todd. I think what we would say is, we think for the lease year that the box office is going to be $8.3 billion, for the lease year. So again, as Mark indicated otherwise, we think if you follow -- if you go and look at our chart that we supplied when we do that, those numbers are consistent with what we think on the Regal contribution. Again, that's -- remember, that's an August 1 to July 31 lease year, so we kind of have broken it out, both giving you our view on kind of what the full year box office will be and then kind of the lease year. So again, those are clearly impacted by the strike, but still think that it will be a nice contribution, as Mark indicated in his comments, of what it will add.
Mark Peterson: Yes, the percentage rents from Regal, for the chart and what we have in our guidance, is about $3.8 million.
Todd Thomas: Okay. That's helpful. Got it. So $8 billion to $8.4 billion for 2024 and $8.3 billion is sort of the assumption for the Regal lease here. I just want to -- got it. And then you discussed the lease restructuring with Escape that took place during the quarter. Should we expect additional lease restructurings in the theatre portfolio in the near term? And is there a percentage rent that you're expecting from Escape in 2024 within that $12 million to $16 million guide?
Gregory Silvers: I don't know -- and Todd, this is Greg. I don't know that we have any other planned restructuring, but -- Greg and his team take the opportunity. If we can -- if we think we can improve the overall portfolio and save or create capital by taking theatres back and selling them and still create and overall stronger, we'll definitely take a look at it. I don't think that there's a meaningful contribution for that theatre. I think the long-term plan is probably to sell that theatre as either for a different use or [indiscernible] theatre use.
Gregory Zimmerman: Let me clarify. So there is a percentage rent component to one theatre and then we also enhanced the percentage rent on the two theatres that we're going to continue, Todd. And like Mark said about our investments in [indiscernible] RV Park, I mentioned that the operator is going to refurbish both of those theatres. So we would hope that, if there with percentage rent, that would come after those refurbishments.
Todd Thomas: Okay. Got it. That's helpful. And then, Mark, just in terms of the August 2024 maturity, $135 million, 4.35%, I think you mentioned that you plan to retire that on the line, which I think is consistent with what you said last quarter. But debt costs have come in somewhat. Just curious if that's still the plan or if your thought process has evolved a bit.
Mark Peterson: No, it's still the plan. If you kind of look at our cash flows for the year, we start with cash on hand. We have excess cash flow in excess of $100 million. We have dispositions. And then we can fund CapEx, maintenance CapEx, and pay off that private placement, still only end up with about $150 million drawn on our line given our current plan. So still a modest draw. But yes, the plan, as I said -- as you said, and as I said last quarter, is to pay it off the line and not have to access the capital markets. Now should the capital markets be there, we can look at longer-term financing. But our plan right now is to pay it off the line.
Todd Thomas: Okay, alright. Thank you.
Operator: One moment for our next question. Our next question will come from the line of Anthony Paolone from JPMorgan. Your line is open.
Anthony Paolone: Hi, great, thanks. Can you talk just generally as you're looking out to 2024 where the coverage levels are lowest or what might be on the watch list outside of, say, the theatre stuff, just your non-theatre assets?
Gregory Silvers: Again, I'll let Greg jump in. But really, it's -- our watch list is very diminished. Again, I don't know that we have anything that's jumping out. Greg is shaking his head, so you can't hear that. But I think, again, and it points to the idea of -- when we reflected last quarter, we talked about a theatre coverage in the 14, 15 range on -- that was on an $8.1 billion box office. So I think our thoughts are relatively, Tony, we've seen the low watermark of theatre coverage if we talk somewhere between $8 billion and $8.4 billion. So that is things are clearly improving in that sector. And as we've talked about earlier, even with and in the face of some increased expense pressure, our coverages have remained high in our non-theatre space. So I don't think we see really -- we don't have any credit worries that we're addressing right now.
Gregory Zimmerman: And Tony, also, as I said in my script and we keep repeating, we're very thoughtful on the theatre side about pruning what I would call underperforming or small market theatres, which kind of, by definition, had poor coverage. So I think overall, our portfolio is healthier because of the steps we've taken.
Anthony Paolone: Okay. So then, I mean if we think about just -- put aside sort of the operating assets and percentage rents, but if you think about just the contractual organic growth in the portfolio, I mean, what should that number look like? Because it seems like 2024 million might be down because you did the theatre, you got the term fee, and so you did the theatre restructuring, it sounds like you're getting a KinderCare back. I'm just trying to understand like how to think about organic growth going forward.
Gregory Silvers: Sure. I mean, I think, generally, we've said somewhere in that 1.5% to 2% is kind of -- next year, in 2025, we'll be impacted by that because of our AMC lease restructure, we have a lease bump for AMC next year in 2025, which because of the fact that we're -- they're cash basis, we're not straight lining. So that will be a more meaningful bump as we get into 2025. But on a run rate basis, that kind of 1.5% to 2% is generally...
Mark Peterson: Yes. As Greg said, it can vary depending on whether it's every five years it actually hits. And then, like you said, in the case of AMC, it's our first bump and be pretty meaningful in 2025. So we should see more kind of higher internal growth in 2025 than 2024.
Anthony Paolone: Okay, great. Thank you.
Operator: One moment for our next question. Our next question comes from the line of Smedes Rose from Citi. Your line is open.
Smedes Rose: Hi, thank you. I just wanted to ask you a little bit about the Mirbeau Spa relationship. It sounds like a mortgage going in, you mentioned you can convert it into a more sort of traditional sale leaseback. Is that your option? And would you expect to do that? And could you just talk about the kind of yields that you're getting on that investment?
Gregory Zimmerman: Sure, Smedes. Yes, it is at our option. There are a couple of triggers that would take -- we get to make a decision over time as the performance goes out. And then some of it also relates to the forward commitment that we have with them to fund future operations. We don't get into the cap rates on individual deals. But as I said early on in the script, most of our deals last year were 8% or above 8% cap rate.
Smedes Rose: Okay. And then the leverage looks like it moved up sequentially. I was just wondering where you expect that to be maybe by year-end in your guidance. Could you just repeat what the goal is on the leverage side?
Mark Peterson: Sure. Leverage is 5% to 5.6%. And with our plan, we'll be squarely within that, perhaps even at the lower end of that in our plan going into 2024. So we've always kind of maintained that 5% to 5.6%. And I kind of laid out the cash flows for next year. A lot of our funding is being financed by free cash flow and even, to some extent, disposition. So that's why leverage can remain low and we could still invest in new acquisitions and so forth.
Smedes Rose: Alright, thank you.
Mark Peterson: Thank you Smedes.
Operator: One moment for our next question. Our next question comes from the line of Michael Carroll from RBC. Your line is open.
Michael Carroll: Yes, thanks. I just wanted to touch on the Escape theatres and the Alamo Drafthouse transitions. I guess, generally, why were those theatres underperforming? I mean, I think, Greg, you kind of highlighted in your prepared remarks that generally you've been getting rid of the theatres in smaller towns. Is that the reason that drove those underperformance of those assets? Or is there something else there?
Gregory Zimmerman: I think it's a couple of things. The Alamo Drafthouse, in particular, were in smaller markets in Texas. They were actually in Laredo and Corpus Christi. And again, I would say, Michael, we don't necessarily think that every small market is bad, but smaller market theatres sometimes have more pressure on them. And then the same with Escape, one -- the one that we terminated was actually attached to a dying mall in Cincinnati. So they're just -- we didn't see a lot of opportunity for growth there. And the one that we have a percentage rent deal on is in a highly competitive zone and, frankly, other theatres [indiscernible]. So I hope that answers the question. It's a combination of everything. We look at the performance and we also look at what we think the performance cadence can be over the next couple of years when we make those decisions.
Gregory Silvers: I think a couple of things I'll add to that, and Greg can chime in. First of all, you look at the underlying credit. As Greg mentioned, the two Alamo Drafthouses were franchisees. So the other two that we kept are corporate credits. So again, the fundamental -- next to that is what we saw at Escape. We have a firm belief of operators need to continue to commit capital to improving these theatres and whether that's expanded offerings in the terms of recliners or premium screens, IMAX, that sort of thing. And some of these smaller operators don't have access to capital. When we did the Escape, we got a commitment for $1 million per theatre that kept for them to improve those theatres. And so when you look at all of those things, it's not just are they doing well now, but how are they going to do and perform over the life of the lease? And are they going to be able to put the money in them to keep them as competitive as we think they need to be, Michael.
Michael Carroll: Okay. And then that $1 million commitment, I mean, how significant is that per theatre? I mean can they do those significant upgrades that you kind of were just mentioning?
Gregory Silvers: Yes. I mean, yes, they definitely can. I mean if you think about upgrade, a full kind of renovation for seats and things, is about $250,000. So you can get significant improvements with this capital.
Michael Carroll: Okay. And then within your remaining theatre portfolio, I mean, how many kind of fit that market where there are smaller town type theatres where you're concerned that you might have to potentially transition or do something with?
Gregory Silvers: I think Greg and his team are doing a great job of kind of, as he talks, pruning those out.
Gregory Zimmerman: And again, Michael, I said a minute ago and I'll reiterate, there's nothing wrong with small markets. If the theatre has a good footprint and it's been upgraded, small markets performed very well. So we tend to look at everything. And I would say we feel pretty good about where we are now. We've taken a lot of steps since COVID. We've disposed of 16 theatres in the past 3.5 years.
Michael Carroll: Okay. Great. And then just last one for me. I guess, Mark, related to your guidance on the other revenue and other expense lines. Obviously, there's big ranges between both those. And then can we assume that your other income guidance is $3 million? Or does it -- or can other revenues trend differently within that range and the same with other expenses and we can get something lower or higher than that $3 million target?
Mark Peterson: So you're talking about the net $3 million target, right?
Michael Carroll: Correct.
Mark Peterson: Yes. So yes, I mean, these are operating properties. So there certainly is a range that they could operate in. For example, part of that is these operating theatres. And we think we've been fairly conservative projecting that for 2024 given the fact that they were shut down for a bit in -- sort of in 2023 and the operators are now getting a full year under their belt. So yes, that can vary. And of course, Cartwright which is another part of other income and expense can vary. We think the $3 million is fair achievable, but we're hopeful that there is upside to that, and that's why there's a range.
Gregory Silvers: I think the other thing that -- and I'll ask Mark to comment, is the seasonality of that number. I would not expect that to divide by 4 and lay that in there. Because whether it's theatres or Cartwright, theatres generally out -- their busy seasons are kind of the second and fourth quarter. And similarly -- so it's just -- it will be -- Mark's tried to give you kind of an annual look on this, but there will be some movement. So generally speaking, the first quarter in the theatre business is not nearly as strong as the second quarter. So seeing those numbers flow through for the whole year, it will be what's important, but there will be seasonality to that on a quarter-to-quarter basis.
Mark Peterson: Yes. And just to add to that, we don't give quarterly guidance, but I said in my prepared comments that the first quarter will be below the kind of the annual number guidance midpoint divided by 4 by about $0.09. And it's in part to what Greg just said with the theatres, but also the off-season for our operating properties, particularly RV parks and so forth, as well as percentage rents is much lower in Q1 than it is for the remainder of the year. So it's important to understand that seasonality, if you will, in terms of projecting quarterly results.
Michael Carroll: Okay, great. Thank you.
Mark Peterson: Thank you, Michael.
Operator: Thank you. One moment for our next question. Our next question comes from line of Ki Bin Kim from Truist. Your line is open.
Ki Bin Kim: Thanks, good morning. Just going back to your theatre projections, you made a comment that you think 2025 will be a much bigger year. Can you just provide like a range of outcomes that you're thinking about, and what you're seeing that makes you believe that?
Gregory Silvers: Again, Ki Bin, it's really about titles. And again, when we come to our estimates, we're using a variety of industry pundits, including for -- some of the major theatre analysts that some of the banks who are on the line here. And I think, again, when we say 8 to 8.4, I think, there's probably no analyst out there that doesn't have at least 9 to 10 in the 2025 number. And it's fully -- as Greg said, it's really about the number of titles. So as the production ramps back up from the writers and actor strike, we're seeing, again -- and an acknowledgment, when you combine that with an acknowledgment by all the studios that they need the theatre exhibition business. I mean, almost, I think, other than Netflix, almost all the streamers are losing money on their businesses, and they need the cash flow that's generated from the theatre exhibition movie, and they've all kind of re- kind of committed to that. And so we're getting really good visibility into titles right now, beginning right now into 2025, and it looks very strong. And again, that's not just our numbers. That's kind of pretty much industry-wide. You see some above 10, but generally, I think everyone is in the range of 9 to 10. So at a midpoint at 9.5, that's a pretty strong year compared to what we're seeing this year.
Gregory Zimmerman: Yes, coverage was 1.7 times at 8.8 trailing 12 months. So we'll be in good shape.
Mark Peterson: To put some numbers, if you look at the chart that we put out, which we probably would have been at $9.4 billion or so forth this year but for the strike. So if you kind of think about that as just a year delayed. The chart suggests that the percentage rent could be another $5 million higher than what we're guiding to this year at $8.7 million. And of course, the operating profits will go up as well, given if the performance of those theatres follows the box office, which we think it will.
Ki Bin Kim: Yes, you read my mind on the next question. Is that chart still -- is that still the base case? There are some rent restructurings from other theatres. So I wasn't sure if there's some movement in this...
Gregory Silvers: That's just Regal in the operating theatre. So we still think it's the base case that we're operating under. As Mark said earlier, our operating theatres are a little off that, but we really think that's a ramping-up period of time that we will we will be there. And our percentage rent number is holding true to that case this coming year.
Ki Bin Kim: Okay. On the AMC ramp bump that's coming in 2025, can you just remind us what that is?
Gregory Silvers: It's a 7.5% bump. So again, I don't have their actual rent number. Mark, do you have that? It's a 7.5%. Roughly, let's -- we'll refine this, but I think it's roughly on $90 million?
Gregory Zimmerman: Every -- every 5 year?
Gregory Silvers: Yes, 7.5% on $90 million. So -- and that occurs August, July -- July or August.
Ki Bin Kim: Okay. And just one more. The executed LOIs or purchase sale agreements for the three of the remaining eight Regals and the one AMC that you have under PSA, just high level, does this mean you're just assigning a lease and you're going to get rent in? And if you can just provide some color on what that NOI increase would be...
Gregory Zimmerman: Yes. So for the vacant Regals and vacant AMCs, we are selling them. We're not going to enter into a lease. They're vacant. So there's no lease to assign. And we have a cadence of selling about six a year, and I think that's probably what it will be this year. A lot of it depends on whether people need to get entitlements, how long that process takes. Of the 16 we've sold over the past 3.5 years, roughly 50% are being used -- reused as theatres, and the other 50% are not. And as I said many times, we're agnostic. We just market and take the highest price and move on.
Ki Bin Kim: Okay, thank you.
Operator: Thank you. And I'm not showing any further questions in the queue. I'd like to turn the call back over to Greg Silvers for any closing remarks.
Gregory Silvers: Well, we really appreciate everyone's time and attention. Look forward to talk to you in the coming year. And thanks, everyone, and appreciate it. Have a great day.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect. Everyone, have a great day.